Operator: Good morning, and welcome to the Icahn Enterprises L.P. Fourth Quarter 2019 Earnings Call with Peter Reck, Chief Accounting Officer; Keith Cozza, President and CEO; and SungHwan Cho, Chief Financial Officer. I would now like to hand over the call to Peter Reck, who will read the opening statements.
Peter Reck: Thank you, operator. The Private Securities Litigation Reform Act of 1995 provides a Safe Harbor for forward-looking statements we make in this presentation, including statements regarding our future performance and plans for our businesses and potential acquisitions. These forward-looking statements involve risks and uncertainties that are discussed in our filings with the Securities and Exchange Commission, including economic, competitive, legal and other factors. Accordingly, there is no assurance that our expectations will be realized. We assume no obligation to update or revise any forward-looking statements should circumstances change, except as otherwise required by law. This presentation also includes certain non-GAAP financial measures. A reconciliation of such non-GAAP financial measures to the most directly comparable GAAP financial measures can be found in the back of this presentation. Now, I’ll turn it over to Keith Cozza.
Keith Cozza: Thanks, Peter. Good morning, and welcome to the fourth quarter 2019 Icahn Enterprises earnings conference call. Joining me on today’s call is SungHwan Cho, our Chief Financial Officer. I will begin by providing some brief highlights. Sung will then provide an in-depth review of our financial results and the performance of our business segments. We will then be available to address your questions. For Q4 2019, we had a net loss attributable to Icahn Enterprises of $157 million, compared to net income of $930 million in the prior year period. The quarterly loss was primarily driven by Holding Company interest expense and losses at our Automotive segments. Net loss attributable to Icahn Enterprises for 2019 was $1.1 billion, or $5.38 per LP unit, compared to net income of $1.5 billion, $11.33 per LP unit in 2018. The full-year loss was driven by interest expense, losses in the Investment and Automotive segment, offset by strong results in our Energy segment. Adjusted EBITDA attributable to Icahn Enterprises for 2019 was a loss of $462 million, compared to a gain of $557 million in 2018. Our Investment Funds earned a positive return of 0.2% in Q4 2019, bringing our total return for the full-year 2019 to negative 15.4%. 2019 performance was driven by losses from our short equity index positions, partially offset by gains from our long core equity positions. We ended 2019 with net short notional exposure of 56%, compared to net short notional exposure of 24% at the end of 2018. Our Energy segment had a solid year. 2019 net sales were $6.4 billion and consolidated adjusted EBITDA was $880 million. CVR’s Petroleum segment’s performance was driven by higher throughput rates, increased capture rates, and higher refining margins, despite lower crack spread. CVR’s Fertilizer segment achieved year-over-year increases in net income and EBITDA and benefited from higher fertilizer sales volumes and stronger product pricing. Net sales and service revenues for our Automotive segment were $2.9 billion in 2019. Icahn Automotive Group continues to push forward with a multi-year transformational plan to restructure the operations and improve profitability. During Q4, IEP issued $750 million of new senior notes due in 2027, with a coupon of 5.25%. Subsequent to year-end, we issued $850 million of add-on to our 2024 and 2020 17-year notes and paid down approximately $1.35 billion of our IEP senior notes due in 2022. Our total debt outstanding at the holding company currently stands at $5.8 billion. We closed this – we closed the quarter with strong balance sheet, and we believe we are well-positioned to navigate these volatile financial markets. With that, let me turn it over to Sung.
SungHwan Cho: Thanks, Keith. I will begin by briefly reviewing our consolidated results and then highlight the performance of our operating segments and comment on our balance sheet. For Q4 2019, net loss attributable to Icahn Enterprises was $157 million, as compared to net income of $930 million in the prior year period. Full-year net loss attributable to Icahn Enterprises for 2019 was $1.1 billion, compared to a net income of $1.5 billion in 2018. As you can see on Slide 5. In 2019, our – the performance of our Investment Funds and Holding Company investments was a significant driver of our net loss for the year. Holding Company losses were driven by the mark-to-market loss on Tenneco and the Holding Company interest expense. This was partially offset by the gain on the sale of Ferrous Resources recorded in the third quarter of 2019. Adjusted EBITDA attributable to Icahn Enterprises for 2019 was a loss of $462 million, compared to a gain of $557 million in 2018. For Q4 2019, adjusted EBITDA attributable to Icahn Enterprises was $111 million, compared to a loss of $108 million in the prior year period. I will now provide more detail regarding the performance of our segments. Our Investment segment had a gain attributable to Icahn Enterprises of $10 million for Q4 2019 and a loss of $775 million for the full-year. The Investment Funds had a gain of 0.2% in Q4 2019, compared to a 4.3% gain for Q4 2018. Long positions gained 12% – 12.6% for the current quarter, while short positions and other performance attributes had a negative performance attribution of 12.4%. For the full-year 2019, the Investment segment had a loss of 15.4%, compared to a gain of 7.9% in 2018. Long positions had a 16.4% gain for the full-year 2019, while short positions had a negative performance attribution of 31.8% Since inception in 2004 through the end of 2019, the Investment Funds gross return is 101%, or 4.7% annualized. The Investment Funds continue to be hedged. At the end of 2019, the funds were net short 56%, compared to net short 24% at the end of 2018, and net short 16% at the end of Q3 2019. Our investment in the funds was $4.3 billion as of December 31, 2019. Subsequent to year-end, we invested an additional $1 billion in the funds with cash on hand at the Holding Company. And now to the Energy segment. For Q4 2019, our Energy segment reported net sales of $1.6 billion and consolidated adjusted EBITDA of $142 million, compared to net sales of $1.7 billion and consolidated adjusted EBITDA of $202 million for the prior year period. CVR Refining had a solid fourth quarter, generating $135 million of adjusted EBITDA for the period, compared to $172 million in the prior year. CVR Refining’s refining margin was $12.47 per barrel in Q4 2019, compared to $13.67 per barrel in the prior year period. Crude differentials tightened significantly compared to 2018 due to the startup of pipelines in the Midland to the Gulf Coast and production quotas [ph] in Canada. CVR Partners reported Q4 2019 adjusted EBITDA of $14 million, compared to $33 million in Q4 2018. For the full-year 2019, the energy segment reported net sales of $6.4 billion and consolidated adjusted EBITDA of $880 million, compared to sales of $7.1 billion and consolidated adjusted EBITDA of $821 million in 2018. Now turning to the Automotive segment. Q4 2019 net sales and service revenues for Icahn Automotive Group were $703 million, up slightly from the prior year period. The increase was attributable to higher automotive service revenues, partially offset by a decrease in the aftermarket parts sales. Higher service revenues were due to growing do-it-for-me and fleet businesses. Q4 2019 adjusted EBITDA was a loss of $31 million, compared to a loss of $56 million for the prior year period. Full-year 2019 net sales and service revenues were $2.9 billion, up 1% from the prior year period. Adjusted EBITDA for the Automotive segment was a loss of $80 million in 2019, compared to a loss of $48 million for the prior year period. Profitability was impacted by margin rate contraction for service and parts business due to the reduction in vendor support funds and other unfavorable margin adjustments. As previously disclosed. Icahn Automotive is implementing a plan to separate its aftermarket parts business from the service business. We have accelerated restructuring the store and DC footprint of our parts business and continue to invest in our growing service business. Now turning to our Food Packaging segment. Q4 2019 net sales decreased by $3 million and consolidated adjusted EBITDA decreased by $4 million compared to the prior year period. For the full-year 2019, net sales decreased by $12 million, or 3% from the prior year period. The decrease was primarily due to lower volumes and the unfavorable effects of foreign exchange, offset in part by increases due to price and product mix. Consolidated adjusted EBITDA was $47 million for 2019, which was down $7 million from the prior year period. Gross margin as a percentage of net sales was 19% for 2019, compared to 20% in the prior year period. And now to our Metal segment. Q4 2019 net sales decreased by $26 million and adjusted EBITDA was down $5 million compared to the prior year. Non-ferrous shipment volumes and pricing continued to be significantly impacted by low demand from China. Net sales for the full-year 2019 decreased by $126 million, or 27%, compared to the prior year. The net sales decrease was due to lower shipment volumes of ferrous and non-ferrous materials and lower market selling prices for most grades of metal. Adjusted EBITDA was $2 million in 2019, which was $22 million below the prior year period. And now to our Real Estate segment. Q4 2019 net operating revenues decreased by $5 million, or 19% compared to the prior year. Adjusted EBITDA for Q4 decreased by $3 million compared to the prior year period. For the full-year 2019, Real Estate operating revenues were $98 million, which was $8 million below the prior year. Revenue from our real estate operations for both 2019 and 2018 were substantially derived income from club and rental operations. The Real Estate segment generated $24 million of adjusted EBITDA in 2019, compared to $48 million in 2018. This reflects the changing mix of our portfolio with the sale of several net-leased properties and receivable income for 2018 related to property sales. Now, turning to our Home Fashion segment. Q4 2019 net sales were up 15% compared to the prior year period. WestPoint’s higher sales volume was attributable to the VSS acquisition in Q2 2019, offset in part by lower organic net sales. As previously disclosed, the VSS acquisition strengthens WestPoint’s focus in the institutional and hospitality business and extends it to addressable market to international markets outside of the U.S. Full-year 2019 net sales for our Home Fashion segment were up 9% compared to the prior year period. Adjusted EBITDA was a loss of $6 million for 2019 compared to break-even for the prior year period. Gross margins as a percentage of net sales was 15% for 2019, as compared to 16% in 2018. Now I will discuss our liquidity position. We maintain ample liquidity at the Holding Company and at each of our operating subsidiaries to take advantage of attractive opportunities. In 2019 and so far in 2020, we were able to refinance $3 billion of debt and extended debt maturities out to 2027. We ended Q4 2019 with cash, cash equivalents, our investment in the Investment Funds and revolver availability totaling approximately $8.7 billion. Our subsidiaries have approximately $800 million of cash and $600 million of undrawn credit facilities to enable them to take advantage of attractive opportunities. In summary, we continue to focus on building asset value and maintaining ample liquidity to enable us to capitalize on opportunities within and outside our existing operating segments. Thank you. Operator, can you please open the call for questions?
Operator: Thank you. We’ll now take questions as part of our Q&A session. [Operator Instructions] And our first question comes from Peter Voell with Mangrove. Please proceed with your question.
Nathaniel August: Hi, this is Nathaniel August on for Peter. Thank you for taking my question. It’s been a pretty volatile market out there. Could you give us an update on how the hedge fund has performed quarter to date through the first two months, please?
Keith Cozza: Yes. We don’t provide inter-quarter guidance on the fund performance. We just do it on the balance sheet date.
Nathaniel August: Okay. And looking at your hedge fund investment, I see that it’s about a $4.3 billion at the end of the year. Is the fund itself leveraged? So that that’s like the net asset value and to the extent that’s some the net asset value, could you give us some insight into how much gross investments for every dollar of equity the fund has? So does it have $1 or $2 or $3 invested for every dollar of equity in the hedge funds?
Keith Cozza: Yes. I would – you’ll see when we file our 10-K later today. I mean, it’s using a very modest amount of leverage. Just to give you some context, our Investment segment has just over $11 billion of assets and $2.5 billion of liabilities, both liabilities – half of those liabilities relate to security fell short. So when you think of it like that, it’s a pretty small amount of implied leverage, I think, is the way to answer your question, right? So the investment portfolio itself, or the left-side of the balance sheet of $11 billion versus total capital of $9 billion, so you can sort of do the math.
Nathaniel August: Okay. So then you’re not more than 100% gross long as well?
Keith Cozza: No, we’re – on a gross basis – no, on a gross basis – on an absolute basis, the gross would be over 100%, because you take the absolute value of the long’s and the short’s, right? So….
Nathaniel August: I was talking about just the long side?
Keith Cozza: Just the long, yes, I guess, you could say on just the long side, we’re roughly 110%.
Nathaniel August: Okay. So then the net short exposure that you achieved is that mostly through credit derivatives?
Keith Cozza: It’s actually – majority of it would be through equity derivatives.
Nathaniel August: Okay. Okay, great. And then just turning to the auto division, it seems like the strategy there has changed a little bit from when you originally acquired Pep Boys and decided to integrate those businesses. Could you just help us understand what you saw from an industrial perspective that drove that decision?
Keith Cozza: Yes. I think – well, to try to summarize it at a high level from the strategy from four years ago is, I think that, we thought that we could grow not only the service side, but the store side and ultimately compete with some of the bigger players by expanding our commercial programs. And I think what we’ve sort of determined over the last two years is that, we can compete on the store side against the big guys in certain markets, where we have decent store density. But it’s going to be very difficult to compete on a national level with the likes of an advanced or an AutoZone or O’Reilly is, right? And so I think what we – the change in strategy has basically been to split – pair down the store side of the business and focus in certain core markets, where we are very competitive and have a decent commercial position and separate out the service side of the business where we’re doing quite well and have a lot of growth tailwind.
Nathaniel August: Okay. And then lastly, I know it’s a small part of your business. But within real estate, I noticed that EBITDA is down a fair amount year-over-year, but any of these actually up a little bit. Could you give us some color on what’s happening there, especially sort of what’s driving NAV to move in the opposite direction as earnings?
Keith Cozza: Yes. So on real estate, we’ve been pretty active in terms of selling certain assets from the net lease portfolio. And so I think you’ll see, over the last couple of years, we’ve realized significant gains related to the net-leased portfolio. But as we sell properties, we lose the lease income stream from those properties. And so, that’s one of the reasons why you’re going to see a decline in the reported EBITDA. But also in there, it could be a little lumpy depending on the sales of development properties and houses within the development operations.
Nathaniel August: Okay. So then are you using the proceeds from the attractive sales that you’ve made to the net-leased properties to repay debt within the real estate division, and hence NAV is going up a little bit?
Keith Cozza: Well, there is no debt in the real estate division, and all that cash is essentially distributed back up to the Holding Company cash.
Nathaniel August: Okay. Thank you for answering my questions.
Operator: Thank you. And our next question comes from Dan Fannon with Jefferies. Please proceed with your question.
Dan Fannon: Yes. Good morning. I guess a question just on the billion-dollars that – well, I think, the rough number that you said went into the fund from the parents post year-end. I guess, if you could talk a little bit about just kind of the macro view you guys have, obviously, the net short position we got as of year-end, not necessarily an update on performance, but if there are sectors or kind of areas that you might be more excited about or doing or think about 2020 just kind of at a high-level some of the themes reviews you’re looking for from an investment perspective?
Keith Cozza: Yes. Hey, Dan, it’s Keith. Well, I think the answer to that question is in turned upside down fairly based on the last two weeks. But – so there’s a lot of obviously uncertainty related to the reach and extent of contraction of economic activity related to the virus. So it’s hard to comment. But I would say that, there’s certain large core positions that we’re actively engaged on. And they’re – I mean, they’re no secret with some of our core positions and some upcoming proxy fights that we’re very excited about the potential for some of those large investments and that’s sort of where our focus is on. I think the way to think about the billion-dollars being contributed and there was just significant excess cash at the IEP HoldCo level. And when they have that much excess cash and the fund is – the fund has some opportunities on the horizon. They put money down into the funds. So that’s really all the billion-dollars was. But I think we’re, although, we’re always exploring for new opportunities, I think, we have a couple of large core positions that we’ve held for a while that we’re trying to be the catalyst to unlock some value.
Dan Fannon: Understood. Thank you.
Operator: Thank you. [Operator Instructions] And our next question comes from Andrew Berg with Post Advisory Group. Please proceed with your question.
Andrew Berg: Hey, guys. Keith, I know you maybe give an update on inter-quarter on the hedge fund. Can you potentially give us any commentary though, whether that net short position increased in 1Q?
Keith Cozza: Yes. I’m not going to update the net short position other than to say that, obviously, we’re – it’s been quite helpful.
Andrew Berg: I would think.
Keith Cozza: …quarter indicative. I mean, as a reminder, we’ve been fairly open about this, majority of that net short position is S&P 500.
Andrew Berg: Yes. I saw the figure. Okay. Thank you.
Operator: Thank you. And I currently have no more questions in queue.
Keith Cozza: Okay. Thanks, everybody. We appreciate your interest in Icahn Enterprises, and we’ll look forward to talking to you about first quarter results in May.
Operator: Ladies and gentlemen, this concludes today’s conference. Thank you for participating. You may now disconnect.